Operator: Good day, ladies and gentlemen, and welcome to the Baker Hughes fourth quarter 2016 earnings conference call. At this time, all participants are in a listen-only mode. Later, we will conduct a question and answer session, and instructions will follow at that time. As a reminder, this conference call is being recorded. I would now like to introduce your host for today's conference, Mrs. Alondra de Oteyza, Director of Investor Relations. Ma'am, you may begin.
Alondra de Oteyza - Baker Hughes, Inc.: Thank you, Vince. Good morning, everyone, and welcome to the Baker Hughes fourth quarter 2016 earnings conference call. Here with me today is our Chairman and CEO, Martin Craighead; and Kimberly Ross, Senior Vice President and Chief Financial Officer. Today's presentation and the earnings release that was issued earlier today can be found at our website at bakerhughes.com. As a reminder, during the course of this conference call, we will provide predictions, forecasts, and other forward-looking statements. Although they reflect our current expectations, these statements are not guarantees of future performance and involve a number of risks and assumptions. We advise you to review our SEC filings for a discussion of some of the factors that could cause actual results to differ materially. Also, reconciliation of operating profit and other non-GAAP measures to GAAP results can be found on our earnings release and on our website at bakerhughes.com under the Investor Relations section. And with that, I'll turn the call over to Martin Craighead. Martin?
Martin S. Craighead - Baker Hughes, Inc.: Thanks, Alondra. And good morning, everybody, and thanks for joining us today. This morning, I'm going to focus on three important areas. First, I'm going to share my perspective on everything that we accomplished at Baker Hughes in 2016, including an overview of the fourth quarter results. Second, I will give you an update on our pending merger with GE Oil & Gas and talk about why our excitement about this combination continues to grow. And, third, I'll give you our views on the industry outlook and how we intend to build on our momentum amid market conditions that are improved but far from robust. Starting with our fourth quarter results, in what remained a challenging market, our revenue grew 2% from the third quarter to $2.4 billion. Adjusted operating profit from operations was $40 million and positive for the second consecutive quarter, which is a testament to the success of our restructuring efforts during the second half of 2016. Now, to remind you, I'd like to review the path forward we outlined for you in May. One, we said we would simplify the organizational structural and operational footprint to improve profitability and return on invested capital. Our initial goal was to reduce annualized costs by $500 million by the end of 2016. Two, we said we would optimize our capital structure by reducing debt and buying back shares while maintaining financial flexibility. Three, we said we would focus on our core strength of product innovation in our full-service business while building broader sales channels for our products and technology, and do so with an asset-light approach that maximizes returns on invested capital. And, four, in line with that asset-light strategy, we said we intended to maximize shareholder value for our North America Land Pressure Pumping business while continuing to participate in this market segment. So now let's look at what this company delivered. On the first point, costs, we achieved the savings target by the end of the third quarter, three months ahead of schedule, and then we exceeded it. Today, I'm pleased to say that we achieved nearly $700 million in annualized cost savings by the end of 2016. Now, this was not just an exercise in removing costs; it was a complete restructuring of the company to improve efficiency, foster more accountability, and enhance performance. Yet, even as we underwent significant structural changes, the company never took its eyes off the long game. We achieved record safety performance, and our employee retention rates exceeded 2015 levels. Also, we continue to invest in the future by bolstering our recruiting presence at key universities. A lot of work went into this effort, and our focus on costs and operational discipline will continue in 2017. Regarding our second objective, optimizing our capital structure, we reduced debt by $1 billion and executed on our share buyback plan up until the merger agreement in October. In addition, we exited 2016 with $4.6 billion in cash, double the $2.3 billion at the end of 2015. Turning to our third objective. To ensure we are best positioned to capitalize on opportunities in the market, we created a flatter, simpler, and more responsive organizational structure that has allowed us to operate more efficiently and effectively, and it's working. For example, while offshore markets remain challenging, we are leveraging our differentiating position in technology to win key projects. In the North Sea, we were awarded a multiyear contract from Statoil to provide cementing and pumping services, completions, drilling and completion fluids, and integrated drilling services. In addition, we won a multimillion-dollar drilling services and wireline contract for a major operator in the Gulf of Mexico. And, in Brazil, we were awarded a multiyear, ultradeepwater contract with an IOC for drilling services, logging while drilling, wireline services, pressure pumping, drill bits, and many other services. Turning now to our plans to accelerate innovation, we exceeded our objective with nearly 70 new products launched during the last six months of 2016. That was an increase of more 50% over the first half of the year. For example, in September, we launched the Kymera XTreme hybrid drill bit, and it's having an immediate impact on the market. During the quarter, this bit achieved drilling performance records in Norway, the Netherlands, the Gulf of Mexico, the Permian Basin, Saudi Arabia, Oman, and Australia. On average, this bit is increasing the rate of penetration by 35% over competitive products. Moving to our efforts to build new sales channels for our products and technology, we've embarked on a concerted sales effort targeting the growing segment of local service providers throughout the world. This effort is already producing results. During the quarter, we entered into agreements with three local service providers in the United States, Mexico, and Malaysia. The interest among this customer segment is growing, and we are confident that this effort will differentiate Baker Hughes among competitors and become a source of consistent growth as it matures. Also, in line with our mandate of ensuring that our product lines earn the right to remain in our portfolio, we exited underperforming product lines in specific markets, the majority completed in 2016. And finishing up with our fourth objective. To maximize shareholder value, we contributed our North America land fracking and cementing business into a new company that is now the largest pure-play pressure pumping provider throughout the North American market. In addition to receiving cash from our partners as part of this transaction, we own nearly 47% of a company with outstanding technology, assets, and people, and seasoned leadership team with a successful track record of execution. The new company has a strong balance sheet, more cost-efficient structure, and even stronger prospects for growth. This deal allows us to more efficiently benefit from the improvement we're already seeing in this market while also allowing Baker Hughes to reduce capital intensity and resource requirements. In summary, we delivered on or exceeded every objective for 2016. Now, beyond all that we accomplished last year, I firmly believe that our most transformational achievement will prove to be the merger agreement with GE. This combination will not only accelerate our own momentum but provide desperately needed productivity and efficiency gains for our respective customers, significant value for our shareholders, and greater opportunities for employees of both companies. To this point, our conversations with customers have clearly indicated that they have grown frustrated with the broader oilfield services sector because there is still a sizable gap between their needs and what the service industry as a whole has been delivering. They are looking for a different set of solutions that address productivity and not just operating cost structure, which in many ways is an opportunity that frankly has run its course. As such, they want service and equipment providers to deliver on the vast promise of data analytics to enable them to make the right decisions and investments at the right time. By combining with GE Oil & Gas, we will be better able to meet these customer demands. We will have a much broader full-stream portfolio of productivity solutions that will provide the new company with more revenue diversity and resiliency throughout the industry cycles. We will have access to the advanced manufacturing and innovation capabilities that the broader GE can provide, including the ability to leverage the immense potential of GE's Predix industrial operating system. Our respective teams are working very well together on the integration planning, and there is great chemistry among our people. I have never been more confident that this the combination that's right and the best outcome for Baker Hughes, our customers, shareholders, and employees. Next, let me turn to the market outlook and how we are positioning Baker Hughes for success. It is clear that the market is in a healthier place as the result of a number of significant industry changes that have occurred over the past several months. However, while there is reason to be optimistic, there remain a number of factors that could cause the expected recovery to occur more slowly and less smoothly than some anticipate. I'd like to walk you through our rationale for this view. In October, we said that a series of milestones needed to be reached in order for a broader recovery to take place and before market predictability could return in a meaningful way. First, we said the supply-demand surplus had to rebalance, allowing commodity prices to improve. Since October, two things have materially changed. We've seen OPEC's decision to scale back production, and we have seen forecasted demand for 2017 to increase by 1.6 million barrels a day. Taken together, and adjusting for drawdown of global inventories, this would point toward a balancing of supply and demand in the second half of 2017. However, as we also said previously, the North American shale segment remains a wildcard in all of this. Since details of OPEC's plan surfaced, rig counts have increased by 33% in the United States, with over 170 rigs added and a corresponding increase in U.S. shale production already underway. Second, we said that commodity prices needed to stabilize for confidence in the customer community to improve and investment to accelerate. We continue to believe that North American operators need sustained prices in the mid to high $50 range for this to occur. The North American shale operators' ability to rapidly increase production has resulted in commodity price recovery being shallower than expected, bringing uncertainty to the sustainability of these recent price increases. And, third, we said that activity needed to increase meaningfully before excess service capacity could be absorbed and pricing recovery could take place. We have seen the first signs of this in select product lines in a few of the North American basins, but I still believe there remains a fair amount of capacity that must be absorbed before service pricing will become more tightly correlated with higher commodity prices and increased activity. With this backdrop, it's clear the market has taken a positive turn, and we have all the elements in play for recovery. Turning to international markets. We expect overall activity to be flat to down in the first half of the year, with upwards movement in the second half. We will see pockets of continuing growth onshore that we intend to leverage. In contrast, we expect offshore markets to remain challenging throughout 2017, but as demonstrated by our recent contract wins, we are very well-positioned to capture opportunities as they arise. So, in summary, 2016 was a year of significant progress for Baker Hughes, marked by a lot of hard work that led to many accomplishments. We begin 2017 with a much more optimistic industry outlook, but one that is not completely devoid of challenges and unanswered questions. As we look ahead, we are excited to build on this momentum, and we are confident that the company is well-positioned for success in any market scenario. And with that, I'd now like to turn it over to Kimberly. Kimberly?
Kimberly A. Ross - Baker Hughes, Inc.: Thanks, Martin. Good morning, everybody. Starting with the 2016 full-year results, revenue was $9.8 billion, down 37% from 2015. This was an extremely tough year for the oilfield, with rig counts dropping another 32% compared to the 2015 average and pricing pressures worsening as oil prices bottomed at $26 earlier in the year. The most severe revenue decline was in our North American onshore pressure pumping business, which declined 82% as we strived to maintain cash flow positive operations in what were unsustainable pricing conditions. Adjusted EBITDA for the year was $493 million, with $535 million generated in the second half of the year as a result of cost reduction efforts. In 2016, we generated $4.2 billion of free cash flow, including the $3.5 billion merger termination fee. And we ended the year with $4.6 billion in cash. Moving to our quarterly results. Revenue for the quarter was $2.4 billion, up 2% sequentially. This growth was mainly the result of increased activity in North America and a few areas internationally, particularly in the Middle East, as well as better-than-expected year-end product sales. These increases were partially offset by reduced activity in the North Sea resulting from labor union strikes, seasonal weather delays, and project postponements. On a GAAP basis, the net loss for the quarter was $417 million or $0.98 per share. Negatively impacting our results were two items. First, $107 million of income tax expense in the quarter, or an equivalent of $0.25 per share, as a result of having a negative 35% tax rate. The negative tax rate in 2016 is driven primarily by the geographic mix of earnings and valuation allowances recorded against U.S. and non-U.S. deferred tax assets. Second, $291 million of adjusting items, or $0.68 per share, which included a loss on sale of a majority interest in our North America Land Pressure Pumping business of $97 million, severance charges of $69 million, contract terminations of $46 million, asset impairments of $30 million, inventory write-off of $30 million related to products that were not contributed to the pressure pumping venture, and merger costs of $19 million associated with the GE deal. The adjusted net loss, excluding the $291 million of adjusting items, was $126 million or $0.30 per share for the quarter. Adjusted operating profit before interest and tax for the quarter was $21 million, a sequential improvement of $14 million. The increase in profitability was driven mainly by increased revenue, lower operating costs from restructuring actions, and a $23 million investment gain in the quarter. This was partially offset by the $45 million of non-reoccurring benefits that we disclosed in the prior quarter. Adjusted EBITDA for the quarter was $266 million, which represented an 11% EBITDA margin. Free cash flow was $610 million for the quarter, which was up by $501 million sequentially. The majority of this increase was due to a $415 million tax refund in the U.S. Please note that this does not include the $142 million of proceeds from the pressure pumping transaction, which we reported on our cash flow statement under investing activities. Now, let us take a closer look at our operational performance. In North America, revenue for the quarter was $775 million, up $101 million or 15% sequentially. Excluding the onshore pressure pumping business, revenues grew 9.3% or $59 million sequentially. The increase was driven by improved U.S. onshore activity, a seasonal uplift in Canada, and higher completion deliveries in the Gulf of Mexico. In North America, our drilling services and completion system product lines were up sequentially 22% and 18%, respectively. Revenue for our upstream chemicals business, which represents approximately one-quarter of our North America revenue, was relatively flat sequentially, as this business more closely tracks production volumes rather than rig count. Adjusted operating loss for the North American business was $56 million, a sequential improvement of $18 million. Excluding the onshore pressure pumping business, operating profit margins were a negative 2.2%. The sequential improvement was due to an increased revenue and savings from ongoing cost reductions, partially offset by headwinds from $28 million of non-reoccurring items benefiting the third quarter. Moving on to our international results. We reported revenue of $1.4 billion, down $9 million or 1% sequentially. Latin America revenues were down by $18 million or 7% sequentially. This was driven primarily by reduced activity in Brazil, where the rig count declined 29%, and a large one-time product sale in Colombia in the third quarter, not repeating. Revenue in the Europe/Africa/Russia and Caspian segment declined by $29 million or 6% sequentially. Labor union strikes, weather delays, and project postponements impacted activity in the North Sea. Also, revenues declined as a result of unfavorable exchange rates in the region and labor union strikes in Nigeria. The revenue reduction in these two segments were partially offset by year-end product sales. For the Middle East and Asia Pacific segment, revenues were up $38 million or 6% sequentially. The increase in revenue was primarily from year-end product sales in Qatar, China, and Saudi Arabia, along with some pockets of growth in the Middle East. Internationally, adjusted operating profit was $85 million, down $7 million sequentially. The decrease in profitability was driven by activity declines in the North Sea, Brazil, and Colombia, the latter related to the one-time sale last quarter, and $14 million in foreign exchange losses as a result of the devaluation of the Egyptian pound. This was partially offset by higher margin year-end product sales and savings from cost-reduction efforts. Revenue for the Industrial Services segment was $233 million, down 13% sequentially. This was driven primarily by project delays and seasonal activity declines in the process and pipeline business, particularly on the maintenance side. Adjusted operating profit before tax was $11 million, down $15 million sequentially. The decline in profitability was related to the seasonal activity drop. Also, the third quarter included a $3 million benefit that did not repeat in the fourth quarter. Now, looking ahead to 2017. In North America, we are forecasting revenues in the first quarter to slightly decline as activity growth, primarily in our well construction product line, will be more than offset by the deconsolidation of the onshore pressure pumping business and reduced activity in the Gulf of Mexico. Our 46.7% non-controlling ownership in our North America pressure pumping venture will be reported as an equity method investment. Prior quarters will not be restated. Internationally, we're expecting a mid to upper single-digit decline in revenue for the first quarter as a result of the seasonal decline in product sales, typical winter weather slowdowns in our Europe/Africa/Russian and Caspian segment, and continued pricing pressures. Our industrial segment will also experience the usual seasonal declines. Based on our current view of the market, adjusted operating profit is currently forecasted to be relatively flat sequentially. Increased profitability in North America from the deconsolidation of the onshore pressure pumping business and onshore activity growth are expected to be offset by lower profitability internationally from year-end product sales and the investment gain in corporate not reoccurring in the first quarter. At this point in the cycle, our income taxes are highly unpredictable and are expected to continue to be impacted by geographic mix of earnings, valuation allowances, and certain discrete tax items. Based on our current assumptions, we expect our income tax to range between $50 million and $70 million in the first quarter. Depreciation and amortization expense is expected to slightly decline sequentially as a result of the deconsolidation of the onshore pressure pumping business, which was $13 million in the fourth quarter. Capital expenditures for the first quarter are expected to range between 5% and 7% of total revenue. To summarize, we delivered on our objectives for the second half of 2016, and while we have some significant headwinds in the first half of 2017, we are well positioned to capitalize on the opportunities ahead. We remain focused on generating positive cash flows by proactively managing our cost structure, reducing our working capital, and maximizing return on invested capital. And with that, let's go to Q&A. Alondra?
Alondra de Oteyza - Baker Hughes, Inc.: Thank you, Kimberly. At this point, I'll ask the operator to open the lines for your questions. To give everyone a fair chance to ask questions, we ask that you limit yourself to a single question and one related follow-up question. With that being said, Vince, could we have the first question, please?
Operator: Yes, ma'am. Our first question comes from David Anderson of Barclays. Your line is open.
David Anderson - Barclays Capital, Inc.: Thank you very much. Martin, your top line North America performance outpaced the peers this quarter. I was wondering if you could provide a little bit more context there. Looks like Gulf of Mexico might actually been a benefit this quarter along with Canada. I was wondering if you could help us break out the different components for us.
Martin S. Craighead - Baker Hughes, Inc.: Good morning, Dave. I'd put this way: The pressure pumping business grew 100% sequentially. Now, granted, that's off of some relatively smaller numbers. And the Gulf of Mexico was up slightly, particularly on the frac boats. But certainly, the drilling business, be it the bits or our LWD AutoTraks, were up between 25% and 30% sequentially. And, if you remember, this is something we highlighted back in the third quarter as to the demand signature for that technology, as these laterals continue to get longer and longer. So it was a bit across the board, and you're right, the Gulf was up a bit. Canada was up around high single digits, mid-teens, but the real drivers was our drilling group.
David Anderson - Barclays Capital, Inc.: Okay. Thank you. And maybe just kind of switching over to international, I guess your comments are a bit bearish here on the international outlook, where (26:24) you're talking about kind of declines in the first half. I was wondering if you could just kind of maybe help us understand a little bit what your customers are doing and what they're saying these days. Seems like NOC spending should be fairly steady, but how about the IOCs? What are they looking for right now to start getting back to work? You mentioned deepwater doesn't look very promising this year. So what do these IOCs need to see in order to start getting more aggressive and start spending more money in the market?
Martin S. Craighead - Baker Hughes, Inc.: It's a great question. And it's a mix, right? You segmented it between NOCs and IOCs, but even in those two categories, certainly different temperaments and different risk appetites. But, as we said back in the third quarter, and we're holding to that, for our offshore IOCs, it's got to be north of $60, probably north of $65, to encompass the majority of them. And it's got to hold there for a while. Now, it varies. Certainly, deepwater West Africa has a different profile in terms of customers and also the risk appetite versus, let's say, the more mature North Sea basins. And of course, as you well know, Dave, I mean, it's just a longer cycle commitment, and that's where the durability of these commodity prices just have to hang there for a while – and again starting with a 6. I think it's – and it's very possible that by the second half, I hope we didn't come across too negative on the deepwater. We said it's – the decline in the first half will be more severe in that segment, but there's no denying the productivity of these deepwater basins, and they're not going to be ignored. Our peers in the service sector on that area particularly, particularly the subsea companies, they're working through their cost profile. And I think as that starts to materialize in the FEED studies and so forth, and the FIDs, you're going to see more of these projects come to pass in the second half. So I mean it does depend greatly on commodity price and the durability of that price. But fundamentally you just can't ignore what those basins have in terms of productivity. So we remain very optimistic. It's just a timing issue, but it's getting a brighter outlook than it was, say, six months ago.
David Anderson - Barclays Capital, Inc.: Great. Thank you, Martin.
Martin S. Craighead - Baker Hughes, Inc.: You're welcome.
Operator: Thank you. Our next question is from James West of Evercore ISI. Your line is open.
James West - Evercore Group LLC: Hey. Good morning, Martin. Good morning, Kimberly.
Martin S. Craighead - Baker Hughes, Inc.: Good morning, James.
Kimberly A. Ross - Baker Hughes, Inc.: Good morning.
James West - Evercore Group LLC: So, Martin, I guess I wanted to follow up a little bit on Dave's last question about the international business. I mean, it seems to me at this point, with a lack of FIDs for the last two years, that you have to have customers that are becoming increasingly concerned about their production as we get out into kind of 2019, 2020, 2021. And so while understanding that they want a 6 handle before they go forward with major particularly offshore projects, in your conversations, how much is the production side playing into their thought process relative to just the pure oil price forecast?
Martin S. Craighead - Baker Hughes, Inc.: Oh, I think that's a very good point. My customer community at the highest level is concerned about replacement ratios, long-term asset base. And there's certainly headline-grabbing North America acquisitions by IOCs and as they position themselves. But it's a lot of hard work to bring a barrel on in North America. I mean, it's why it's called an industrial operation. It's a lot of activity, a lot of work. And yet you look at the reservoir profiles in these deepwater basins, those are company makers, and those are the reserve replacements that our IOC community needs going forward. So it's all hands on deck on our customer side, as well as us, GE, for example, in getting that cost curve down, and we're getting there. And, again, it plays right into the merger announcement in terms of being able to put together a full-stream solution. So I'm convinced that – and while it's maybe not flavor-of-the-month, deepwater right now, there's no getting away from the fact that our IOC customers need that in their portfolio, and I don't want to be provocative or anything, but without that, then our IOCs are not IOCs, and it's a big part of their go-forward valuations.
James West - Evercore Group LLC: Right, okay. That's consistent, I think, with our view. And then, on your rotary steerable business, your directional drilling business in North America in shale plays, I think last quarter during the Q&A you talked about how you were sold out in that business, and it sounds like you had, obviously, a very good quarter in the fourth quarter with AutoTrak, et cetera. Are you adding capacity, at this point, to meet the increased demand? Because it looks like North America will be up substantially in terms of drilling activity this year.
Martin S. Craighead - Baker Hughes, Inc.: We are. So the answer to your question is yes. But as you've heard us, both Kimberly and I, and you'll hear it throughout our organization, return on capital.
James West - Evercore Group LLC: Right.
Martin S. Craighead - Baker Hughes, Inc.: So equipment goes where it's loved the most, and not every basin in North America is created equal right now in terms of pricing. But, yes, we are bringing more tools out, but we're not going to lose discipline on the amount of money we're making on them.
James West - Evercore Group LLC: Okay, great. Thanks, Martin.
Operator: Thank you. Our next question is from Jud Bailey of Wells Fargo Securities. Your line is open.
Judson E. Bailey - Wells Fargo Securities LLC: Thanks. Good morning.
Martin S. Craighead - Baker Hughes, Inc.: Good morning, Jud.
Kimberly A. Ross - Baker Hughes, Inc.: Good morning.
Judson E. Bailey - Wells Fargo Securities LLC: Hey, a question – I wanted to get you to discuss, if you could, Martin, how to think about your North America business now with deconsolidating the pressure pumping business. It's a lot of production chemicals, a lot of artificial lift. Can you help us think about the projection of that business perhaps relative to the rig count? You'll have some areas that lag the rig count. And then help us think about the margin profile incrementals as that business grows over the next one to two years.
Martin S. Craighead - Baker Hughes, Inc.: Just think about the North American portfolio. What do you want to be in? You want to have a leading drilling position in terms of technology, and you want to play into the trend of longer laterals. And there's nothing on the market like the AutoTrak, given its proportional steering and ability. Then you move to the completions business, which is continuing to challenge our customers. So we have things like the OptiStriker and of course sliding sleeve, as well as – which is still being used in certain basins. And then, of course, you even have, as these laterals get longer, the need for more material sciences around the dissolvable plugs. And then you move to the production side, where we have a leading franchise in terms of our chemical business and of course the high-end artificial lift business. I mean, it's fantastic. Now, as you rightly inquire, the margin curves or the volatility is much more muted in something like chemicals. So it gives us more resiliency, but it doesn't track the rig count, and it's not going to be as explosive. And certainly now going forward, it makes up nearly a quarter of our business. So it's the right portfolio and it's – I'll leave it at that. And, Kimberly, can you talk to the margins, or are you going to – ?
Kimberly A. Ross - Baker Hughes, Inc.: So obviously as we start seeing more activity come through with the cost base that we have, we'll see incrementals. We're not going to give a number today on that. And I think also keep in mind that with the lower business of pressure pumping, which was obviously a lower margin for us, and the fact that we'll be more asset-light, we expect a better return on capital overall going forward in the North America operations.
Judson E. Bailey - Wells Fargo Securities LLC: Okay. Thanks for that. And I wanted to follow up, Kimberly, on your operating profit kind of guidance for the first quarter. I just want to make sure I'm comparing to the right thing. Are we to look at the $21 million in operating income, the adjusted operating income number for the fourth quarter to think about the first quarter, just to make sure we're benchmarking it correctly?
Kimberly A. Ross - Baker Hughes, Inc.: Yes. You're correct.
Judson E. Bailey - Wells Fargo Securities LLC: Okay. All right. Thank you.
Operator: Thank you. Our next question is from Sean Meakim of JPMorgan. Your line is open.
Martin S. Craighead - Baker Hughes, Inc.: Sean, you there?
Alondra de Oteyza - Baker Hughes, Inc.: I think we lost Sean.
Operator: Our next question is from Byron Pope of Tudor, Pickering, Holt. Your line is open, sir.
Byron K. Pope - Tudor, Pickering, Holt & Co. Securities, Inc.: Yeah, good morning.
Martin S. Craighead - Baker Hughes, Inc.: Good morning, Byron.
Byron K. Pope - Tudor, Pickering, Holt & Co. Securities, Inc.: Martin, the Middle East/Asia Pacific region is second only to North America in terms of the revenues for the company, and so seasonal factors in Q1 aside, could you just speak to what you see in some of your Middle East onshore geo markets? Clearly the year-end product sales were stronger than what you would have expected, but again if you could just give your thoughts on how you see the outlook progressing for some of your Middle East onshore geo markets this year, that'd be helpful.
Martin S. Craighead - Baker Hughes, Inc.: Sure, Byron. There's a bit of a disconnect between the OPEC cuts that were announced and what we're forecasting at least for the next six months in terms of activity. And I have to hand it to our customers there. The governments have long-term strategic plans. They keep their NOC subsidiaries kind of on notice that they want to have a certain production capacity. Some of our Middle East countries and clients have not wavered from their long-term 2020 or 2025 production goals. So we've seen no pullback that would kind of correlate, if you will, to the announcement on a production cut. We still expect it to be relatively steady and a couple pockets, so some of the more midsize to smaller players in the Middle East are actually going to increase. So it's a positive environment, at least for the first half, in that region.
Byron K. Pope - Tudor, Pickering, Holt & Co. Securities, Inc.: Okay. And then just a short follow-up related to the – you mentioned the three arrangements you now have in place with local OFS players in the U.S., Mexico, and Malaysia. I'm assuming those discussions were ongoing for a while. But just could you speak to the extent to which the combination with GE may have helped get those arrangements across the finish line?
Martin S. Craighead - Baker Hughes, Inc.: I think once the combination occurs, it will probably provide a broader relationship, potentially. But at this stage, we're opportunity rich in that area, and we're going through the processes and making sure all the T's are crossed and I's are dotted. We have no lack of interest, as I said in my comments, in that area. We're a little ahead of schedule. We brought a few online in the fourth quarter when we told you we thought it would be the first half.
Byron K. Pope - Tudor, Pickering, Holt & Co. Securities, Inc.: Right.
Martin S. Craighead - Baker Hughes, Inc.: So it's very positive. And I think it'll only get more positive once we have a bigger catalog, so to speak.
Byron K. Pope - Tudor, Pickering, Holt & Co. Securities, Inc.: Thank you. Appreciate it.
Martin S. Craighead - Baker Hughes, Inc.: You're welcome.
Operator: Thank you. Our next question is from Scott Gruber of Citigroup. Your line is open.
Scott A. Gruber - Citigroup Global Markets, Inc. (Broker): Yes. Good morning.
Martin S. Craighead - Baker Hughes, Inc.: Good morning, Scott.
Kimberly A. Ross - Baker Hughes, Inc.: Good morning.
Scott A. Gruber - Citigroup Global Markets, Inc. (Broker): Martin, I just want to continue on with Byron's question. As you think about your go-to-market strategy abroad, post the GE deal, has anything changed with how you think about that strategy going forward?
Martin S. Craighead - Baker Hughes, Inc.: No. Absolutely not. And it wouldn't be appropriate at this stage, given the regulatory process. I mean, the integration teams are working very well together. They're focused on organizational design; they're focused on operating models. And we're looking at validating and feeling comfortable with synergy targets. But as it relates to the go-to-market strategy, I see that further down once regulatory approval is given. But I would just tell you this – and, again, it gets back to the previous question – it's a broader catalog and probably even more channels than what we had set out prior to our discussions with GE.
Scott A. Gruber - Citigroup Global Markets, Inc. (Broker): And then a question on pricing internationally. We're hearing that concession requests are being made again in the Middle East. How much of a headwind is pricing in the Middle East and elsewhere across the markets abroad, and are there any pockets of improvement that you're seeing at this point, internationally?
Martin S. Craighead - Baker Hughes, Inc.: No. There's no pockets of improvement internationally. I mean, it's – not in the first half. And it gets back to what we see with regards to commodity prices. But everything starts in North America and kind of ends in North America. And, as I said, we're kind of at the end of the downturn. We're starting to – I think we're on the cusp of a sustained recovery. The question is timing and intensity, but it's certainly looking a lot more positive. That washes to the other shores where we work and the clients' own changes. Certainly, our customer communities in the Eastern Hemisphere has a different tone. They're more optimistic. But, again, it gets to the longer-cycle nature. And we got to see capacity get absorbed in North America to where it starts to really tighten up the conversations in the Eastern Hemisphere. But I'd say the pricing in the fourth quarter in the Eastern Hemisphere is probably the worst I've ever seen potentially that I can remember. Let's put it that way.
Kimberly A. Ross - Baker Hughes, Inc.: And I'd just add to that also that obviously we still have annualization of contracts coming through from price concessions that were given before. And we still obviously have some longer-term contracts that are rolling over and get renewed at lower pricing, so just keep that in mind as we go through the year.
Scott A. Gruber - Citigroup Global Markets, Inc. (Broker): Got it. Appreciate the color.
Martin S. Craighead - Baker Hughes, Inc.: You bet.
Operator: Thank you. Our next question is from Bill Sanchez of Howard Weil. Your line is open.
Bill Sanchez - Howard Weil: Thanks. Good morning. Kimberly, my question for you, just back onto 1Q and just again trying to understand the operating income guide 1Q versus 4Q. Given the numbers that you stated in your prepared comments, when we strip out pressure pumping in North America, by my math it equates to that you get about a $40 million EBIT pickup in 4Q that of course you get to carry into 1Q. So help us on the merely flat here. Would suggest that, I mean, I guess, look, pressure pumping would improve relative to that but that international maybe is down more sharply from an EBIT contribution perspective. So do I have the math wrong here? Or help us a little bit, please.
Kimberly A. Ross - Baker Hughes, Inc.: I think a few things that you need to keep in mind is, first of all, we have the seasonality that typically takes place in Q1. We also will not have a repeat of the direct sales. You also, on – while North America is expected to be up, international is expected to be down. And also with pricing, as we just discussed. So you have a few moving parts taking place there. So obviously the pressure pumping being a plus, but then we have some things going the other direction. And then also we have the $23 million that we mentioned of an investment gain that we had in quarter four that does not repeat in quarter one. So there are few moving parts there.
Bill Sanchez - Howard Weil: Okay. So the non-pressure pumping businesses in North America 1Q are down relative to 4Q from an EBIT perspective. Is that fair?
Kimberly A. Ross - Baker Hughes, Inc.: Well, we're not giving necessarily a straight EBIT number on that. So we're not giving you guidance specifically on the North America business. So what we have said is that on the top side is well construction will be offset by the deconsolidation of the pressure pumping, and also we have some reduced activity that we expect in Gulf of Mexico.
Bill Sanchez - Howard Weil: Okay. One other question, Kimberly, just 4Q cleanup here. Are you able to give us what I would call the recurring tax rate would have been, or tax benefit would have been, in 4Q?
Kimberly A. Ross - Baker Hughes, Inc.: Not as a tax. But obviously, right now, we don't have tax benefit. Right? Because any benefits are being offset by the fact that we have to put valuation allowances up against those benefits. So thus the reason also that we continue to have a kind of distorted tax rate, coupled with the fact that we continue to pay withholding taxes and other taxes that go in there also. So that's why we tried giving you some guidance for quarter one. We're getting brave out here and giving you some guidance there on the $50 million to $70 million that we expect of a charge for quarter one, but this continues to be volatile, and obviously it's very dependent on the earnings mix, the geographic mix of where the earnings come through.
Bill Sanchez - Howard Weil: Okay. I appreciate the time. I'll turn it back.
Operator: Thank you. Our next question is from Kurt Hallead of RBC. Your line is open.
Kurt Hallead - RBC Capital Markets LLC: Hey. Good morning.
Martin S. Craighead - Baker Hughes, Inc.: Morning, Kurt.
Kurt Hallead - RBC Capital Markets LLC: Hey, I just wanted to get a sense – Martin, you spent a lot of time this morning talking about having to earn the capital within the product line dynamics internally. You think about that in total, where do you think the opportunities lie to maybe move some equipment, move some of that capital? And again, for competitive reasons, I'm not going to ask you to get specific about it, but one of your competitors indicated that they'd be willing to effectively pull out some of their assets out of the Gulf of Mexico and move them other places if they don't get the returns that they're seeking. So just curious as to your thought process on that.
Martin S. Craighead - Baker Hughes, Inc.: Well, look, our operational folks, along with our product line folks, have regular rigorous discussions as to the earnings potential, not only with the new assets that are coming out of manufacturing but the existing assets. As we said in our prepared remarks, we had some significant deepwater wins in Brazil, West Africa, and so forth, and the North Sea. And those are at numbers that justify pulling tools from certain places. And my comment around it all starts in North America and ends in North America – my having lived and worked overseas and engaged with the customer community in those respective basins, the vibe in North America, given the intensity of work, the service intensity, very quickly changes conversations. Now, you have longer-term contracts and so forth, but this industry needs to have more discipline when it comes to return on capital. We do certainly as a company, and we're not shy about having the conversation with our customers that equipment needs to go where it's loved the most, and that's why I think that North America could be a catalyst sooner rather than later with regards to what's going on in the rest of the world, and I – appreciate, I can't give you specifics of where things are moving right now. But it's a very rigorous and frequent conversation between our ops and product line folks.
Kimberly A. Ross - Baker Hughes, Inc.: Yeah. And this is Kimberly. And I would add to that, I think the new organization structure has really helped us in this also, because you have Belgacem, along with Art and obviously finance helping along there, too, and others, really taking a look at what's the total amount of assets that we have, where do we think the growth is going to be with regards to different product lines, and then within the different regions. And we have, I think, strong processes also now to know where the tools are and how to share the tools across the operation. And so, to Martin's point, the rigor that's gone into this, I would like to think, is step-changing versus how we were doing things in the past. And so feeling good about not only where we move tools to but also do we build new tools based on where we see opportunities going forward.
Kurt Hallead - RBC Capital Markets LLC: Okay. Thanks for that. And I want to follow-up with this – and, Kimberly, you provided some very good specific, again, guidance on first quarter. Now, can you help us – how do we think through the equity and earnings line with the BJ rights? Private company now. And that's going to, obviously, have an impact, at least, on the earnings per share number. You gave us the operating profit guidance, but how should we think about that equity and earnings line in the first quarter?
Kimberly A. Ross - Baker Hughes, Inc.: Yeah. So obviously, as a private company, we will not be giving guidance on their number specifically. You will have visibility to it each quarter. Obviously, the objective here is to see improvement in the overall performance of that business, and they're going to have a leaner cost structure. And also, as they start with this uptick and they're reinvesting in that business, they're doing it mindfully so and keeping their eye on cost. And so we do expect to see improvement in the performance versus what you saw in the recent quarters while it was 100% under Baker Hughes. So, with that said, we will not be giving guidance on that. I think once you see the Q1 results in our equity, it'll give a better sense. So apologize that right now I can't give you a number to plug in there.
Kurt Hallead - RBC Capital Markets LLC: That's okay with no number, but from a logic standpoint, given everything you just said, I would imagine it would still be a drag, at least in the first quarter. It'd still be kind of a negative contribution. Is that a logical way to think it through?
Kimberly A. Ross - Baker Hughes, Inc.: Yeah. I think that's a logical way to think about it.
Kurt Hallead - RBC Capital Markets LLC: Okay. Thanks so much. Appreciate it.
Martin S. Craighead - Baker Hughes, Inc.: You're welcome.
Operator: Thank you. Our next question is from Jim Wicklund of Credit Suisse. Your line is open.
James Wicklund - Credit Suisse Securities (USA) LLC (Broker): Good morning, guys.
Martin S. Craighead - Baker Hughes, Inc.: Good morning, Jim.
James Wicklund - Credit Suisse Securities (USA) LLC (Broker): Martin, IOCs rarely increase their budgets midyear. So your discussion of improvement in the second half of the year internationally, is that from expectations of NOC spending picking up, or are these projects and contracts that you have or will secure during the second half of the year that you feel confident about?
Martin S. Craighead - Baker Hughes, Inc.: I agree with what you said, but I also get the feeling that given the uncertainty that's out there and the hope or anxiousness that its worst is behind us, I'm not so sure that that – budget adjustments midyear won't be different. And, look, in many, many cases, the budgets are either still in flux or haven't been formally announced. So we remain – I think second half offshore deepwater is going to have a different complexion. And that's where I'm at, Jim.
James Wicklund - Credit Suisse Securities (USA) LLC (Broker): Okay. So it's mostly deepwater as opposed to just broadly international that you think will pick up in the second half. Okay.
Martin S. Craighead - Baker Hughes, Inc.: I think across the board internationally offshore with – that certain deepwater basins will look differently in the second half than the first half, yes.
James Wicklund - Credit Suisse Securities (USA) LLC (Broker): Okay. I appreciate it. My follow-up – you note your three local service provider opportunities that you've taken advantage of, and I know the assumption had been among many that it'd be places in Saudi with their 70% local content guidance, and Malaysia's no surprise. The one in the U.S. is a surprise. Can you talk about how that's structured and what product lines are involved in the U.S. partnership, or is that just pressure pumping and I'm missing it?
Martin S. Craighead - Baker Hughes, Inc.: I guess we could have included the pressure pumping one, but, no, that's not it. I could probably tell you, but I don't want to in terms of what product line. But I will tell you this, that given again the areas around, let's say, barrier to entry, investment, infrastructure, and you just look at the value proposition, the price point that has to be reached, I'll let you draw – you know this business. I'll let you draw the conclusion of which one of those in our portfolio in North America – it's got an element of scale to it. And, as Kimberly said, we look at the amount of money that's required and what's the return on that going to be versus what's it going to be in the next-generation LWD, and we just said, let's let somebody else distribute it on our behalf.
James Wicklund - Credit Suisse Securities (USA) LLC (Broker): Okay. That's helpful. Thanks, guys, very much.
Martin S. Craighead - Baker Hughes, Inc.: You bet.
Operator: Thank you. Our next question is from Colin Davies of Bernstein. Your line is open.
Colin Davies - Sanford C. Bernstein & Co. LLC: Good morning, everybody.
Martin S. Craighead - Baker Hughes, Inc.: Good morning.
Kimberly A. Ross - Baker Hughes, Inc.: Good morning.
Colin Davies - Sanford C. Bernstein & Co. LLC: I just wanted to see if we could get a little bit more color around competitive activity in some of the product lines in North America. You talked about the pricing profile and revenue profile. But around equipment reactivation, are the competitors exhibiting some discipline here around reactivations, or do you think we're going to have a chase of market share resuming?
Martin S. Craighead - Baker Hughes, Inc.: Well, I can't speak for my competitors. I would say that in product lines that have a low barrier to entry – and pressure pumping, frankly, is one of those – I think you're going to see capacity adds. The guy who's willing to accept the lowest return is generally – sets the returns for everybody else, because he's willing to bring in capacity. And when that playing field is a lot of participants, then that's a challenge. And that leads to the outcome that we announced in the fourth quarter. On the offset of that, whether it's high-end flow assurance chemicals, whether it's rotary steerables, whether it's high-end completions, or the next-generation type of artificial lift technology, that's a different ballgame, and I can only speak from Baker Hughes' perspective, but as Kimberly said, we're going to be extremely disciplined when it comes to capacity.
Colin Davies - Sanford C. Bernstein & Co. LLC: Okay. And just a follow-up around – and there were some comments earlier around the nature of contracts and the rollover of some of the price concessions that have occurred on the way down. Are you able to see whether your customers are trying to get more extended-term contracts to try and lock in lower prices? And what's your attitude to that in the balance between sort of activity capture and pricing?
Martin S. Craighead - Baker Hughes, Inc.: Well, it's a mix, but that's an insightful question, and the customer community is clearly trying to lock in longer-term contracts. We look at each one very closely, and we're in general avoiding that type of outcome. If it does have that in this particular environment, then it has kick-out clauses or escalation opportunities. But, yes, there is a bias in the customer community now to try to button down service agreements for the longer term. And in general we're not biting.
Colin Davies - Sanford C. Bernstein & Co. LLC: Great. That's very helpful. Thank you very much.
Martin S. Craighead - Baker Hughes, Inc.: You're welcome. Okay, folks. Listen, I want to bring this to a close. And I want to, first of all, thank all of you for joining us. Let me just summarize a couple of points. Baker Hughes is executing on the strategy that we articulated for all of you back in May, and it's working. We delivered nearly $730 million improvement in adjusted operating profits from the first half to the second half of 2016, despite continued market headwinds through that time. In the fourth quarter alone, we generated $632 million of cash flow from operations, and we grew the top line sequentially, securing a number of critical, important strategic wins. The innovation engine in Baker Hughes is in full throttle. We beat our target for new products to market, and we successfully launched our commercial model earlier than we had anticipated for those new sales channels. As we set our technology agenda for creating a step change in productivity for our customers, we firmly believe our merger with GE Oil & Gas will be revolutionary, particularly as we begin to operationalize the full potential of digital technology in the upstream sector. And, finally, we've laid out our views on how we see the market evolving over the coming next couple of quarters and years. And despite a few remaining challenges, the outlook is considerably more positive, particularly for our North America business. With the actions we've taken over the last couple of quarters, I like where we are right now with our portfolio. We are in the right geographies, and we have the right asset mix, and we're positioned extremely well for the upcoming recovery. So again thanks, all of you, for joining us. Bye.
Operator: Ladies and gentlemen, thank you for your participation in today's conference. This concludes the program. You may now disconnect. Everyone have a great day.